Operator: Greetings, and welcome to the RiceBran Technologies Fourth Quarter and Full Year 2022 Earnings Call and Webcast. [Operator Instructions]. As a reminder, this conference is being recorded. And I will now turn the conference over to your host, Mr. Jeff Stanlis of FNK IR. Sir, the floor is yours.
Jeff Stanlis: Thank you. Good afternoon, everyone, and welcome to the RiceBran Technologies Fourth Quarter 2022 Financial Results Conference Call. Hosting the call today are Peter Bradley, Executive Chairman; and Todd Mitchell, RiceBran's Technologies Chief Operating Officer and Chief Financial Officer. I want to remind participants that during the call, management's prepared remarks may contain forward-looking statements that are subject to risks and uncertainties. Therefore, the company claims protection under the safe harbor for forward-looking statements as contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from results discussed today, and therefore, we refer you to a more detailed discussion of these risks and uncertainties in the company's filings with the SEC.  In addition, any projections as to the company's future performance represented by management include estimates as of today, March 16, 2023, and the company assumes no obligation to update these projections in the future as market conditions change.  The webcast and certain financial information provided in the call, including reconciliations of non-GAAP financial measures to comparable GAAP financial measures are available at www.ricebrantech.com on the Investor Relations page. At this time, I would like to turn the call over to Peter. Peter, please go ahead.
Peter Bradley: Thank you, Jeff, and good morning -- and good afternoon to everyone. 2022 was a year of both great progress and significant challenges. Notably, we entered into an agreement with Gander Foods with respect to our rice milling operations. And for the first time, Golden Ridge delivered a full quarter of positive contribution to adjusted EBITDA in the fourth quarter.  Additionally, MGI delivered strong revenue and profit contribution growth. Particularly pleasing was the momentum was maintained in the fourth quarter despite challenges with completing a major capital project at the mill. MGI now has 50% more capacity and a broader range of manufacturing capabilities, providing a solid platform for growth.  The Core-SRB business held its own, delivering double-digit revenue growth and maintained its profit contribution. The benefits of the revenue growth and solid pricing action, though, were offset by both higher raw material and operating costs.  While we've been able to grow volume through aggressive sales efforts we were unable to maintain our engagement with the previously disclosed new customers in the pet food category because we were unable to resolve certain technical performance issues.  The added value derivatives business, though had a tough year. The raw material and processing challenges, which materially impacted in the first half of the year, and led to the inability to meet market demand, resulting in customer losses accentuated by increased competition in the derivatives category.  Now let me turn the call over to Todd to discuss the results.
Todd Mitchell: Thank you, Peter. Good afternoon, everyone. We delivered another $10 million plus quarter with year-over-year growth of 32% in the fourth quarter and 34% for the year. Both mills are executing very well and Core-SRB sales grew double digits for 4 quarters in a row. However, while adjusted EBITDA losses declined sequentially and year-over-year in the fourth quarter, largely due to a significant improvement at Golden Ridge. Results were below our expectations for both the quarter and the year.  Looking at the numbers in greater detail. Revenue. Total revenue was $10.6 million in the fourth quarter of 2022, a 32% increase from $8 million in the fourth quarter of 2021. Total revenue was $41.6 million in 2022, a 34% increase from just over $31 million in 2021. Growth for the quarter and for the year was led by Golden Ridge and MGI and helped by double-digit gains in Core-SRB sales offset by a decline in value-add SRB derivative sales.  Gross losses. Gross losses were $87,000 in the fourth quarter of 2022, down from gross losses of$170,000 a year ago. Gross losses were $759,000 for the full year 2022, a $1.2 million decline from gross profits of $442,000 in 2021. Gross losses for the quarter and for the year were driven by a decline in contribution margin from value-add SRB derivative sales. offset in part by improved results from Golden Ridge and MGI.  SG&A. SG&A in the fourth quarter declined 5% to $1.5 million from $1.6 million a year ago. Total SG&A for the year declined 6% to $6.7 million from $7.1 million in 2021. Lower SG&A for the quarter and for the year was driven by a reduction in director compensation and corporate expenses, with the latter primarily due to lower support staff compensation and benefits from subletting our corporate headquarters.  Operating losses. Operating losses declined 71% in the fourth quarter to $1.6 million from operating losses of $5.6 million in the fourth quarter of 2021. Operating losses for the year fell 31% to $7.3 million from $10.6 million in 2021. Operating losses in the fourth quarter and full year of 2021 included $3.9 million in noncash charge for goodwill impairment.  Net losses. Net loss for the quarter was $1.7 million or $0.28 per share compared to a net loss of $5.4 million or $1.04 per share a year ago. Net loss for the full year was $7.9 million or $1.42 per share compared to a net loss of just under $9 million or $1.87 per share in 2021. Net losses in 2021 included a gain of $1.8 million in the first quarter or forgiveness of the SBA PPP loan and the aforementioned $3.9 million charge in the fourth quarter for goodwill impairment.  Adjusted EBITDA. Adjusted EBITDA losses were $654,000 in the fourth quarter compared to adjusted EBITDA losses of $806,000 in the fourth quarter of 2021. Adjusted EBITDA losses for the full year were $3.8 million in the fourth quarter -- I'm sorry, for the full year compared to adjusted EBITDA losses of $2.9 million for 2021.  Lower losses in the fourth quarter stemmed from a significant improvement in contribution from Golden Ridge, while the decline for the year reflected the decline in contribution from our value-add SRB derivatives business.  Cash. Total cash was $3.9 million at the end of the year, down from $5.8 million at the end of 2021 and $4.4 million at the end of the third quarter of 2022. With that, I'll turn the call back to Peter for closing comments.
Peter Bradley: Thanks, Todd. Despite the progress in parts of the company in 2022, notably in the rice and specialty milling businesses, the Core-SRB has not moved forward as we wanted it to and the value-added derivatives business continues to suffer major market and operational challenges. Accordingly, we were not able to achieve the goal of positive adjusted EBITDA.  The Board is in the midst of a strategic review of all the possibilities for RiceBran Technologies. These alternatives are at various stages of review. And given the sensitive nature of this process, I am currently unable to provide any further details. I'd like to thank everybody for their attention, and I'll turn it back to the operator.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference call. You may disconnect your lines at this time, and have a wonderful day, and we thank you for your participation.
End of Q&A: